Operator: Good day, everyone, and welcome to the Guess? Fourth Quarter Fiscal 2024 Earnings Conference Call.
 I would like to turn the call over to Fabrice Benarouche, Senior Vice President of Finance, Investor Relations and Chief Accounting Officer. 
Fabrice Benarouche: Good afternoon, everyone, and thank you for joining us today. On the call today with me are Carlos Alberini, Chief Executive Officer; and Markus Neubrand, Chief Financial Officer.
 During today's call, the company will be making forward-looking statements, including comments regarding future plans, strategic initiatives, capital allocation and short- and long-term outlooks. The company's actual results may differ materially from current expectations based on risk factors included in today's press release, and the company's quarterly and annual reports filed with the SEC. Comments will also reference certain non-GAAP or adjusted measures. GAAP reconciliations and descriptions of these measures can be found in today's earnings release. 
 Now I will turn it over to Carlos. 
Carlos Alberini: Thank you, Fabrice. Good afternoon, everyone. We appreciate you joining us today.
 On behalf of Paul and myself, I'd like to begin by thanking all of our associates worldwide for their valuable contributions throughout the past year. Our teams performed very well, delivering solid top line growth, improved gross margins and disciplined expense performance. The results speak for themselves, and we couldn't be more proud of our team's accomplishments this year. 
 We closed our fiscal year with a very strong fourth quarter performance, resulting in adjusted earnings per share of $3.14 for the year. The last time that our company reached this level of EPS performance was 12 years ago in fiscal year 2012. Revenues for the year increased to $2.8 billion, up 3% in both U.S. dollars and constant currency and we delivered an adjusted operating margin of 9.2%. Our ability to deliver this performance was the result of our strong brand momentum around the world, the robust customer response to our great product assortment, and the amazing attitude and discipline our teams continue to demonstrate. 
 Our performance in both the fourth quarter and the full fiscal year shows the benefits of our unique diversified business model and how we are leveraging our powerful platform across multiple product categories, geographies and channels of distribution. We are at an inflection point in our company's development, and we couldn't be more excited about our future.
 Before I turn to our fourth quarter performance, I want to touch on two exciting announcements. First, the special dividend. As you know, returning capital directly to our shareholders is a high priority for our Board. Over the past five years, we have returned nearly $840 million in capital to shareholders, either through share repurchases or quarterly dividend. In line with our commitment to reward our shareholders, our Board approved a special dividend of $2.25 per share in addition to the regularly quarterly dividend of $0.30 per share. Both of these dividends will be paid on May 3, 2024, to shareholders of record as of April 17, 2024. We are very pleased with this action and proud of our performance that enabled it. 
 Next, I'd like to turn to our recently announced acquisition of rag & bone with a global management firm, WHP Global. This is the first acquisition in the 43-year history of Guess? and we are thrilled to add such an iconic brand to our portfolio. As Paul noted at the time of our acquisition announcement, rag & bone is a brand that is well known for its preeminence in American fashion that over the years has stayed true to its roots and founding values with an unwavering commitment to quality and authenticity. The brand is known for blending traditional craftsmanship with modern cultural references. And over the years, it has become synonymous with effortless quality clothing for men and women with an innovative yet understated New York aesthetic and a strong expertise in denim. 
 The brand appeals to a very attractive customer base that is complementary to that of our Guess? and Marciano brand. Currently, rag & bone directly operates 34 stores in the U.S. and 2 stores in the U.K. The stores are highly productive and generate healthy forward contribution. The product is also distributed in high-end boutiques, select department stores and through e-commerce platforms globally. Last year, rag & bone generated sales of $252 million and adjusted EBITDA of $18 million. We are excited about the opportunities to grow this brand, and I'll speak more about those later on the call. 
 Now moving to our fourth quarter results. We are very pleased with our performance as we deliver results ahead of our expectations for revenue and earnings growth. Revenues grew by 9% in the period, and adjusted earnings from operations reached $130 million, growing 21% versus last year. We achieved an adjusted operating margin of 14.6% in the quarter, which was 150 basis points ahead of last year.
 Our segment results were impressive this quarter as all of our five business segments grew revenues with Americas Wholesale, Asia, Licensing, and Europe posting the biggest increases to last year. All segments but Americas Retail posted operating earnings growth in the period and delivered operating margin expansion. 
 Regarding product performance, we continue to see different levels of performance across regions, with accessories, footwear and Marciano performing best during the quarter. We closed the year with a strong inventory position in spite of the ongoing supply chain challenges that we are facing due to the Red Sea crisis. Inventories were down 9% at the end of the year, and our inventory composition was in line with our plan. During the last few years, we have been able to rearchitect our business to optimize inventory productivity and cash flow generation. We believe that these changes represent a permanent improvement to our model. 
 During our last earnings call, I spoke briefly about our strategic planning process and the six critical objectives that we are focused on going forward. Just to remind you, this relates to organization and talent, growth, brand relevancy, customer centricity and digital expansion, product excellence, and last optimization to drive efficiency, profitability and return on invested capital.
 I would like to provide an update on our ongoing work in connection with these objectives. Starting with our organization and talent objective, we have completed an organizational assessment and have identified key opportunities to improve our accountability and facilitate decision-making. We plan to act on this assessment and develop detailed plans in the next few weeks. In addition, we remain committed to building strong management capabilities across the organization to support growth and have launched three key searches for senior roles that will be based in Europe. 
 Regarding our growth objective, we made tremendous progress during the period. We have already completed the internalization of the G3 license businesses, finalized the design of all products including full new collections of outerwear and dresses, taken orders from our wholesale customers, and we are in production as we speak. With respect to our new Guess jeans brand, the first season's collection has been developed and offered to customers around the world. The first sales campaign for Guess Jeans has been completed, and the results were ahead of our initial expectations. 
 As part of the brand's launch, we have already secured a few locations to open new Guess Jeans stores in the U.S. and several key cities in European markets. We strongly believe that this brand and its products will serve Gen Z consumers around the world very, very well. 
 In connection with the launch of the Guess Jeans brand, Nicolai Marciano led two events to launch the brand worldwide. In October, Guess? teams launched exclusively to its top press and trade partners in Milan with a private exhibition hosted at Spazio Maiocchi. This was an exclusive immersive event showcasing history, innovation and sustainability of Guess genes.
 Following Milan, Guess Jeans had its first public introduction at the January 2024 addition of Pitti Uomo in Florence. With over 3,000 people in attendance, it was a monumental event for the brand. The exhibition, which spanned across 4 days, featured a denim centric retrospective of the brand and showcased the first look of the next 40 years of denim with the introduction of GUESS AIRWASH a state-of-the-art sustainable alternative to stonewashing.
 Also during the quarter, we negotiated the purchase of the Guess? business in Chile and Peru, which was built over the last several years by our exclusive distributor in that market. The business consists of 15 Guess? stores, an e-commerce business and a wholesale business. This acquisition was executed a few weeks ago by a joint venture that we formed with Grupo Axo, our partners in our Mexico business for the last 18 years. The stores are well located, and they have the potential to deliver about $20 million in sales annually in the short term as we reposition and recapitalize the business, including strengthening inventory buys that have been insufficient for some time in the market compared to the potential of that market.
 And speaking about growth, probably the most exciting news of all relates to our recently announced acquisition of rag & bone that I mentioned earlier on the call. Paul has jumped in with both feet to build on this dream. We have an ambitious vision for rag & bone, and we plan to expand its product offering through a combination of own product development and licensing specific categories that we believe has significant potential for growth. 
 We also plan to expand the brand's presence and distribution internationally. Guess? and WHP Global combined have an outstanding global distribution network and powerful licensees that will enable us to drive the growth of the rag & bone business globally, leading up to the signing of the agreement to acquire rag & bone, Paul and I had the opportunity to spend time with Andrew Rosen, Chair of the Board and the rag & bone management team, and we couldn't be more impressed with the quality, expertise and depth of the leadership and of the overall organization including store personnel. We can't wait to begin working there.
 Turning finally to optimization of our operations. We just launched a project to convert our distribution center operation in the U.S. to a third-party provider. We selected our logistics partners in Europe to run our facility located in Louisville, Kentucky. This company is the #1 global company in the business. Our Kentucky operation currently services our entire U.S. retail and wholesale businesses. We also plan to sell that facility and our partner will lease it back to operated. We are currently negotiating a self-transaction with several interested parties. This change should have a positive impact on our cost structure and the expected benefits have been incorporated into our guidance. 
 We look forward to further updating you on our strategic plan as the year progresses. This includes specific initiatives to address the observations our consultants have identified, together with other key initiatives and strategies that we have developed, such as plan to optimize our product assortments and pricing, grow our digital business, enhance customer engagement, and increase the use of data and technology, all with the goal to improve our decision-making and operations further.
 Moving to our outlook for the new fiscal year. We expect to grow our top line between 11.5% and 13.5%, and deliver revenues of over $3 billion for the first time in our company's history. We also plan to generate adjusted operating margin between 7.5% and 8.5%, and adjusted earnings per share of $2.56 to $3. This outlook includes the benefits of the rag & bone acquisition, the growth of our core business and the other growth initiatives that I mentioned earlier. Markus will elaborate further about our guidance in just a minute. 
 In closing, we are very pleased with our results this year. I'm very proud of our team's accomplishments. The company's performance demonstrates how Paul's vision and our team's efforts over the last few years to elevate our brand and transform our business are paying off. We are enjoying strong momentum across the world with the Guess? and Marciano brand when customers are responding well to our product assortments across categories.
 We appeal to three distinct customer groups with our Guess?, Guess Jeans, and Marciano brands. And now by adding rag & bone to our portfolio, we are positioned to expand into a more affluent and very attractive customer base.
 We have a strong and highly diversified business model and a solid capital structure. We have built a platform that can power a bigger business, generate synergistic growth and margin expansion and deliver significant value creation over time. We have expertise in virtually every distribution model in which our products have sold. We work with wholesale partners from large department stores to mom-and-pops. And we have developed a network of licensee partners that supports our portfolio of several different product categories.
 Over the past 43 years, those powerful capabilities have clearly served the Guess? brand well, bringing us to the precipice of a $3 billion company. The inflection point, the evolution for us is that we view these capabilities as a platform to drive outsized growth. A platform that gives us the power to do things that others simply cannot do, the power to take a smaller regional or national brands and make it global.
 The power to leverage our portfolio of product categories and build a mono category brand into a lifestyle brand. The power to make something exponentially bigger because we can grow it across multiple dimensions. That's not easy to do, but we feel that we have built the right platform to do it. This is why we are so excited about our future.
 As we build this bigger ecosystem, we will continue to be opportunistic with the use of capital to drive our performance and create value, including continuing to invest in the business and opportunistically consider strategic acquisitions as well as continuing to return capital to our shareholders.
 And with that, I conclude my remarks and pass the call to Markus. Thank you. Markus? Please go ahead. 
Markus Neubrand: Thank you, Carlos, and good afternoon, everyone. We surpassed our expectations for revenues, operating profit and earnings per share in the fourth quarter. We grew revenues by 9%, expanded gross margin and carefully managed costs all of which enabled us to deliver an adjusted operating profit growth of 21% compared to last year's fourth quarter. 
 Let me take you through our fourth quarter results in more detail. Total company revenues in the fourth quarter were $891 million, with all segments exceeding expectations. The fourth quarter's extra week accounted for nearly 2/3 of the total revenue increase in the period.
 Turning to our segment performance, starting with Europe. In the fourth quarter, our European business growth continued, driven by the extra week and strong demand for our collections with revenues rising 9% in U.S. dollars and 10% in constant currencies. Fourth quarter retail comps, including e-commerce, increased 6% in U.S. dollars and 7% in constant currency. Our stores achieved a strong store comp growth of 12% in constant currency, which was mainly due to continued high AUR growth and higher conversion. Our e-commerce comps declined by 8% in constant currency compared to Q4 of last year with our own website performing better than marketplaces. Our revenues in European wholesale improved 6% to last year when adjusted for currency fluctuations.
 Supported by the Guess Jeans launch, our European wholesale orders for the fall winter 2024 collection have increased by mid-single digits in constant currencies. The operating margin in our European business increased by 200 basis points to 18%. Higher initial markups and higher revenues were partially offset by the unfavorable impact from currencies and higher markdowns. Americas Retail posted a 1% increase in revenues in U.S. dollars and was flat in constant currency, mainly driven by the benefit of the extra week.
 American Retail comps, including e-commerce, declined 2% in constant currency. In our North American stores, comps also dropped by 2% in constant currency. While traffic remained under pressure, similar to third quarter trends, we are very pleased with the improved conversion and higher units per transaction.
 Our U.S. and Canada e-comm comparable revenues decreased by 3% compared to Q4 of last year. Lower traffic to our website was offset by business initiatives that drove a higher average order value and a higher conversion rate. Americas Retail posted a 15% operating margin compared to a 15.4% operating margin a year earlier. The 40 basis points decrease in operating margin was mainly driven by the unfavorable impact from negative stock comps, partially offset by the favorable impact of currency.
 In American Wholesale, revenues increased by 44% in U.S. dollars and 39% in constant currency, mainly driven by higher shipments in the U.S. and continued strong momentum in Mexico. Operating margin reached 28.5%, a meaningful improvement of 7.6 points from Q4 of last year, mainly driven by improved product margins, the benefit of higher revenues and expense leverage.
 In Asia, revenue grew 18% in U.S. dollars and 19% in constant currency. Revenue growth was driven by the extra week, net new stores in Korea, e-commerce in Korea and China, and our new business in India. Retail comps, including e-commerce for the region decreased 1% in constant currency. Operating margin improved 200 basis points to 4.8%, driven by higher revenues and partially offset by lower product margins and higher expenses. We are very pleased to return Asia to a full year profit. We improved the full year earnings from operations by [ $30 million ] from $5 million to positive $8 million, mainly driven by Greater China and Korea. 
 And finally, our Licensing segment had a strong quarter and exceeded our expectations with revenues increasing 15% in both U.S. dollars and constant currency. Handbags footwear and eyewear had a very strong performance during the quarter. Segment operating margin was 92.7% and operating profit increased by 21%. In Q4, total company gross margin reached 45.4%, up 120 basis points from a year earlier, improved IMUs and high revenues were partially offset by negative currency impact and higher markdowns. 
 Adjusted SG&A expense for the quarter increased 8% to $275 million from $254 million a year earlier. The 53rd week accounted for more than half of the increase in the adjusted SG&A expense. For the quarter, our adjusted SG&A rate improved 30 basis points to 30.8%. Improvement is due to leverage, partly offset by moderate inflationary pressures on our cost structure, investments in our infrastructure, especially in Europe and currency headwinds. On a constant currency basis, our adjusted SG&A increased 7%
 We exceeded our expectations for adjusted operating profit as it rose to $130 million for the quarter, a 21% improvement compared with last year's fourth quarter. Our adjusted operating margin reached 14.6%, 150 basis points higher than last year's Q4, mainly driven by higher revenues and a high IMU, partially offset by the negative currency impact, higher expenses and higher markdowns. 
 In the quarter, we reported nonoperating net income of $30 million. The income was primarily due to an unrealized gain to mark our SERP and deferred compensation plan assets to market and a realized gain on the sale of other assets. And we recorded an adjusted effective tax rate of 17.5% in the fourth quarter.
 For the fiscal year 2024, our adjusted effective tax rate was 22.2%, 3.5 points higher than last year as we recorded a discrete tax benefit in the prior year. Adjusted Q4 diluted earnings per share was ahead of our expectations at $2.01 compared to $1.74 of earnings per share in last year's fourth quarter.
 Moving to the balance sheet. We delivered on our plan to reduce inventories across all regions. We ended the quarter with $466 million down 9% in U.S. dollars and 6% in constant currency compared to last year. Overall, we are pleased with our inventory composition and forward orders and feel we are well positioned to support our business. Our receivables were $315 million, an 8% decrease compared to last year's fourth quarter. On a constant currency basis, receivables decreased by 5%.
 For the year, capital expenditures were $74 million, mainly driven by investments in store remodels, new stores and technology. This compared to $90 million last year. We ended the quarter with $360 million in cash, compared to $276 million a year ago. The most significant drivers of that $84 million cash build over the last 4 quarters include $248 million of free cash flow, offset by $63 million in dividends, debt repayments of $62 million and $31 million of net outflows related to the January exchange of convertible notes transaction.
 We ended the quarter with a total of $392 million of borrowing capacity on our various global facilities. So roughly $752 million of available liquidity.
 Our annual cash flow significantly exceeded our plans for the year. That performance resulted both from our careful working capital management as well as sizable cash infusions from nonrecurring events, including a litigation settlement and an investment sale.
 Also, as we previously announced in January, we exchanged an additional tranche of our 2024 convertible notes which had been due next month, deferring $67 million of maturities into 2028. Again, we are pleased with the strength of our balance sheet that enable the Board's decision to improve a special dividend of $2.25 per share, in addition to the regular quarterly dividend of $0.13 per share. 
 Turning now to our outlook for fiscal year 2025. Overall, we expect to see a cautious consumer that is mindful of discretionary purchases in light of inflation and higher interest rates. Regardless of the external environment, we will remain focused and expect to make progress in executing against the critical strategic objectives that Carlos discussed.
 We are expecting opportunities that will transform the direction of our core Guess? and Marciano businesses in fiscal year 2025 based on the growth drivers that Carlos mentioned in his remarks. Overall, we anticipate our core Guess? and Marciano businesses to increase revenues in the low to mid-single-digit range in fiscal year 2025. 
 We are very excited about the rag & bone acquisition and we expect to close this transaction in the latter part of the first quarter of fiscal year 2025. Therefore, we have included the benefit of this business in today's guidance. With the expectation that it will contribute roughly 2/3 of this year's total company revenue growth.
 Based on these assumptions I've outlined for fiscal year 2025, we expect revenues will increase in the range of 11.5% to 13.5% in U.S. dollars and 12.5% to 14.5% in constant currency. This includes a net adverse impact of roughly 1.5 points on revenue growth from the loss of the 53rd reporting week in fiscal year 2024. Based on the prevailing environment, currencies will be a headwind on revenues in the first half of fiscal 2025.
 As we consider this year's profitability, we expect a headwind on inbound freight from the Red Sea crisis as roughly 2/3 of our global sourcing volume is impacted. We anticipate that the rate pressure will moderate in the second half of fiscal 2025 and have incorporated the development in our outlook provided today. Our expectation is that rag & bone will be modestly accretive to earnings this year. These assumptions reflect the fact that we will make investments into the brand and support the distribution expansion in the U.S. and internationally throughout this year.
 In addition to support our growth drivers outlined earlier, we continue investing into our infrastructure. Based on these assumptions for the full year, we expect an adjusted operating margin between 7.5% and 8.5% and adjusted earnings per share in the range of $2.56 to $3.
 Turning to the first quarter. There are a couple of factors to keep in mind as you model the revenue growth. The rag & bone acquisition is expected to close later in the first quarter. In European wholesale, the timing of our deliveries will be a headwind of roughly $15 million on revenues in the first quarter compared to last year. Overall, our wholesale business in Europe continues to be healthy, and our shipments in the second and third quarters should more than compensate for the lower volume in the first quarter.
 As a result, for the first quarter, we expect revenues will increase in the range of 1% to 2% in U.S. dollars and 3% to 4% in constant currency. We expect an adjusted operating loss margin between 2.3% and 2.8%, and an adjusted loss per share between $0.37 and $0.41. Overall, we do expect revenue growth to accelerate in the next 2 quarters of the year as the second quarter will be the first quarter to fully benefit from the rag & bone acquisition and the first outerwear shipments in North America are planned to be delivered in the third quarter. 
 Going into the fourth quarter, we expect that revenue growth will be impacted as we will anniversary last year's 53rd week. 
 Turning to operating margin, we do expect an adjusted operating margin of 6% to 7% in the second quarter and a modest sequential improvement in the third quarter. The fourth quarter should represent an opportunity for adjusted operating margin expansion compared to last year. 
 We anticipate generating a free cash flow of roughly $160 million for the full year. With the expected closing of the rag & bone acquisition later in the first quarter of fiscal 2025, approximately $56.5 million of purchase price will become due. We are currently working with our bankers to include certain acquired assets from rag & bone in the borrowing base of our asset-based revolving credit facility in North America and increased our borrowing capacity. 
 Our priority is to invest in our brands and businesses to support sustainable growth. We will remain highly disciplined in the way we allocate capital across projects.
 In closing, our performance in the past fiscal year and our plans for fiscal 2025 demonstrate the strength of our diversified business model and talented global teams.
 And with that, we can now open the call up for questions. 
Operator: [Operator Instructions] Our first question is from Corey Tarlowe with Jefferies. 
Corey Tarlowe: I wanted to ask you about the idea of Guess? being a platform versus a brand. And I think that this is maybe not something that's necessarily new to you, but it's definitely a point that feels like you are putting greater emphasis on more recently given the announced acquisition of rag & bone.
 So I wanted to maybe it would be really helpful if you could just dive into the aspects of Guess? that you believe position the business well from a platform perspective and the scalability of the enterprise to build other brands bigger and to become more profitable overall as opposed to just a specific brands. 
 So again, this idea of platform versus brand would be great to get your view on it. 
Carlos Alberini: Yes. No, I'd be happy. Thank you very much for the question. Frankly, we -- this is at the center of what we are calling this our inflection point for the company's development.
 Just as we have been reflecting and thinking and doing a lot of work on our strategic vision for the company, it became very obvious to us that over the last 43 years, Paul and his brothers, they have built a pretty incredible machine here. Where one brand benefited from multiple capabilities, including understanding how to run each and every one of the channels where we sell product with. So we have capabilities in retail, in e-commerce, and we know how to do wholesale business.
 We have probably every single product or business model that you can imagine in our industry is represented in our network, one way or the other, franchisees, distribution, distributors, licensees and so forth.
 We happen to have a brand that has been expanded into a lifestyle, a very significant lifestyle for both women and men. And that incorporates over 25 different product categories that are part of this portfolio. So we have expertise in all those product categories, whether those are done internally or with the help of licensees that represent the brand for their respective products. And these relationships are very long term. We are talking about 20, 30 years plus in some cases. And that gives us tremendous strength and it's an ecosystem that is very difficult to replicate.
 We happen to be in the international marketplace, not just in one area, but in -- we are currently in 100 countries. And we have representation locally in multiple markets with local management teams that really run those territories which is another incredible strength that the model has.
 So when you think about all this for all these 43 years, this whole ecosystem has serviced as the Guess? brand very well. But then we started thinking, well, why couldn't we just bring additional business through this platform and really give them access to all these capabilities, and also, just contribute to growing those different opportunities in different markets or different product categories.
 So when we put it all together and you think, well, so you think about an opportunity like rag & bone. rag & bone brings an incredible match to what we think this platform can offer. Just first, the customer base that rag & bone just worked with is very complementary to all the other customer bases that we have as part of our portfolio of brands. And we think that this brings a great opportunity to really capitalize on a new market that is very attractive, very affluent consumers. And of course, that is why -- and it's based on the price positioning that the brand has, which is very strong and very attractive.
 So just at the same time, rag & bone is relatively concentrated in terms of the business in the U.S. just I believe that like about 90% of the business is in the U.S. And we think that this is a case where you have a very strong brand that the business doesn't represent the potential and size of the brand itself. So we feel that there is a big opportunity to really take that brand internationally and offer additional product categories that today, maybe they are represented, but very limitedly or they are not represented at all. And we have access to all those.
 So we are just super excited about this opportunity to really bring those capabilities to bear to help the brand become significantly bigger, become present in multiple markets that they are -- it's not well known today. And into product categories that we think that those product categories belong with the lifestyle that the brand represents. But today, they are not representative.
 That is just one example of the type of business that we think our platform can benefit. And for that reason, we call it a platform as opposed to a brand. This, of course, the Guess? brand will continue to benefit from this. And we think that there are other benefits that can come from it like just in the long term, using a vendor base that could be really very additive to what we are doing in -- with our brands internally today. I don't know, maybe some days, we are going to find synergies.
 But frankly, if you go back to rag & bone, that's not what motivated us to do this acquisition. And that is not a priority today. Our priority is to really invest in expanding the awareness of this brand, bringing the brand to other markets, bringing the brand or products into the brand to expand the region and the assortment that we offer to that consumer. Super exciting. Thank you. 
Corey Tarlowe: Great. I did just have a follow-up on the outlook for this year. And obviously, the organic growth as well as the acquisitive growth that you have planned in there from a sales perspective is very attractive.
 I was just curious on the margin point, for the full year, operating margins in fiscal year 2024 were over 9%. And then at the midpoint, for the outlook, you're looking for about 8%. So a decline of a little over 100 basis points. Curious if you could talk through some of the puts and takes and headwinds and tailwinds that you're anticipating to impact the operating margin for the full year of fiscal 2025? 
Carlos Alberini: I'm going to just say a couple of words and then just ask Markus to answer this. But just that we are looking at this year as a year of investment. And it's a year where we continue to build capability to support the growth. We talked a little bit about investing in people and some new roles.
 We think that in this particular year, just investing in the brand will also take some marketing power and we think that it's absolutely the right thing to do not only for rag & bone but also for the new brand, Guess Jeans that we are launching. And all of that is embedded into our guidance. And we feel that maybe we are being conservative, but we think it's important that we anticipate the level of investment that is going to be required to really pursue the potential that our business and in particular, this new brand has. Over to you Markus? 
Markus Neubrand: Thank you, Carlos. Hi, Corey. For the full year, as you've seen from the press release, and in the prepared remarks, as we project 11.5% to 13.5% revenue growth in total as it's a headwind for the full year of roughly 1 point. As you have seen in the prepared remarks, I talked about that rag & bone where we spend roughly 2/3 of that revenue growth, we are projecting for fiscal year '25. And Carlos, nothing talked about those several concrete initiatives that we have that will drive the growth in the core Guess? and Marciano business, like as teams, also like markets, also like India, Chile and Peru, also that Carlos touched on and the internalization of the outerwear and dress category in North America.
 If we look at the -- it's all about puts and takes, I think FX, of course, is on the revenue side. I think as a headwind, on the revenue side, also the 53rd week represents a headwind, as we won't be comping 53rd week in the fourth quarter. When we put all of it together, and I think getting to the operating margin, Carlos touched on the investments in the infrastructure investments also in rag & bone as well.
 Red Sea, I touched on it. I think then also the Red Sea crisis has an impact on our freight rates and on the inbound costs that we have incorporated in today's guidance where we expect increasing freight rates, especially in the first half of fiscal year '25 and then they were expected to be moderated in the second half of fiscal year '25. 
 Rag & bone acquisition, we expect that it will be modestly accretive. So there will be some margin dilution from rag & bone. And there are some other benefits that we've incorporated in our guidance like the KY DC, Kentucky DC operations that have been outsourced to a logistics partner. All of this has been incorporated in the guidance we've been giving an operating margin that we see between 7.5% and 8.5% for fiscal year '25. 
Carlos Alberini: Then just I would add, there are -- I mean not everything is perfect here. We are also facing some challenging businesses in North America has been tough for us, especially in the U.S. And we are seeing negative traffic into our stores that continues to impact us, and we have to be prudent and careful we want to sell product at full price. So we have been very careful not to overpromote. And of course, just that is also having an impact on our top line in addition to the customer traffic issue.
 So we are incorporating this thought into our guidance as well. And I think as Markus talked about this in his prepared remarks, but just we expect that in the first quarter, we are going to have some timing in our wholesale European business that is impacting us in a negative way, $15 million. I think that is the number. The good news here is that this is not a reflection of the business contracting. This is only a timing issue.
 And we know, based on our order book and everything that we're seeing in terms of trends in our business that we have plenty of volume coming in the following 2 quarters that is definitely more than compensating the partial change in the first quarter because of the timing. 
 So we feel good about that. We feel good about Europe, just as our business continues to be very healthy at -- in the direct-to-consumer business. We had some weakness in e-commerce, but has not been just something to be concerned about. And we are seeing that the stores continue to do very well. We had a great fourth quarter in Europe. And we think that this speaks loud and clear about not only our position in the marketplace as a brand, but it speaks loud and clear about how good the product is, and how the customers are embracing the product assortment that we have in the launch today. So it's a good moment for us. 
Operator: [Operator Instructions] It comes from the line of Mauricio Serna with UBS. 
Mauricio Serna Vega: I was hoping you could elaborate a little bit more -- yes, maybe if you could elaborate a little bit more on what you saw in the Americas region. It was pretty nice to see the comp sales improve. But then like the commentary just provided, it seems like things got a little bit slowed down a little bit in the Q1. So maybe a little bit more detail on that.
 And then it seems Europe is still performing very well, and should be the case [indiscernible] year. Maybe just what do you think is driving that ongoing outperformance.
 And I don't know like if you could maybe give us an idea of if we just think about the core Guess? and Marciano businesses, by themselves, like what kind of operating margin were you thinking for them, like fiscal year '25, excluding rag & bone and maybe like any additional investments that you would be doing for that business? 
Carlos Alberini: Okay, thank you, Mauricio. Well, so let me start. I was just talking a little bit about our Americas business, the challenges that we face with negative traffic. That in the fourth quarter got a little better versus the trends that we had experienced in the third quarter, and that helped us. And we ended that quarter with a plus 1, I believe, in terms of revenue growth, but that was impacted positively by the 53rd week. So it's not in our comps. We're still negative. And we do not anticipate that, that is going to change just in the next few months. And that is kind of like in line with what we are experiencing today, and that has been embedded into our guidance. 
 We think it's clearly an issue with traffic. We don't know exactly what's happening in the industry at large. I think that in our case, this has been somewhat consistent. And for that reason, we have been predicting the business and anticipating inventory buys in just taking that into consideration.
 Interestingly enough, in our business in the U.S. was the most difficult one, but we had a very good business in Canada. And we're talking about positive comps, improved profitability, just a good conversion there and kind of like a very different story than what we see in the U.S. So we think that just then if you look at the different pieces in the U.S., the tourist stores did better than the non-tourist stores. We don't know exactly what to read into that because of the strength of the dollar and how that is impacting the pockets of tourists. But that is the real numbers, and we are trying -- analyzing all this as much as we can to really make the right decisions.
 When you go to Europe, now on the other side, just -- this has been very, very strong. We had a great fourth quarter, as I said before, and positive comps have been now present there for quite some time. We're talking about several quarters. We think it has a lot to do with how good the product assortment is and how that customer is gravitating towards the brand.
 We are seeing good traffic now, just those -- many of those markets have more than recovered from pre-COVID trends, and that's very significant. And also, when you talk about Europe, this is not just one mass of customers or one mass market, there is a lot of different just unique characteristics of each of those markets or countries.
 So we have some countries that have done incredibly well. I think Turkey we talked about, but there are many other examples like that. And there are some other countries that are more challenged, like Germany has been just in a more difficult place just we were very pleased with our business in the Mediterranean Basin during the fourth quarter. Italy had a very good quarter. Spain had a good quarter. I mean, there are a lot of good things happening too in spite of how challenging some of the markets may be. I think that is probably unique to us, again, because I think the brand is so strong. And so well embraced by the customer.
 And the great thing about Europe is that if that market is working for us, I mean that means that a lot of the company is working. Just that business last year represented $1.5 billion for us. So that's a pretty massive just as a business and a very big influence on how the company does. If Europe does well, we have a very good chance to do well as a company. And it's not just the volume, but it's also the profitability. The business is very healthy. We have a great wholesale business, the wholesale business. I think that during the last 4 years, has grown like 30% from about EUR 480 million to about 630 now.
 So just when you think about that, and this is with COVID in between, so just I think this speaks loud and clear about the strength of the business and the brands in those territories. And I think that's something that we did very well, and this is to credit to Paul also and the product teams is the expansion of key categories. Just we introduced at leisure as a new category to the assortment, and this happened during the COVID times. And that business went from zero, literally zero to representing about 7% of our apparel business in about 2 or 3 seasons. I mean it happened like so quickly.
 And then after COVID was behind us, we didn't know what to expect about this brand because people were changing their lifestyles and so forth. And -- but we are super pleased with that because we see huge strength from this category, as recently as the season we just closed. Just as leisure was one of the big growers within all the categories. So that's an example of just expanding categories can be very powerful for us to continue to grow our business. 
Markus Neubrand: [ Corey ] if I may take the last part of your question regarding the operating margin that we're expecting for the full year also for fiscal year '25. We talked about those opportunities for growth. I'm not going into them again, from a revenue perspective, the headwinds we had a 53rd week foreign currencies.
 From an operating margin perspective, rag & bone is modestly accretive. So meaning, in other words, it is a little bit of the margin dilution from rag & bone that we have incorporated in our today's guidance for the operating margin. 
 If we -- Carlos talked about it before and we touched on it as well. We are making investments in our infrastructure. I think Carlos talked about several also about the key searches we're making. We talked about the platform earlier, I think that we are building, so this is all being incorporated in our today's guidance.
 And on top of it, I think as mentioned before and also in the prepared remarks, we have the Red Sea impact on shipping costs incorporated on our total company guidance, and the 7.5% to 8.5% operating margin operates the core Guess? and Marciano business as well as also what we expect as a contribution from rag & bone. 
Mauricio Serna Vega: And the investment in marketing, right? 
Markus Neubrand: Yes, exactly. Investment in marketing as growth in rag & bone. 
Unknown Executive: Yes. So I think just it's fair to say that if you were looking at just the core business before rag & bone, you will be looking at a higher operating margin tiny, tiny, but higher operating margin. And we don't think that this should be the case forever because we see that there is tremendous potential in rag & bone to even be more profitable in the future. But for now and for this year, that's the way we are planning the business. 
Operator: And it comes from the line of Eric Beder with Small Cap Consumer Research. 
Eric Beder: Two questions. One, Guess Jeans, when is that -- review the collection? So when is it going to start to roll out? And where is the focus in terms of where the product is going to be your own stores, the region? How should we be thinking about that rollout and how it impacts the guidance?
 The second unrelated question, you guys did the special dividends, you've done a regular dividend. The stock repurchase program is completely used and getting to congratulations. Do you plan on revisiting that as we go forward in this year? 
Carlos Alberini: Well, so let me start with Guess Jeans. Guess Jeans, we're talking about a month from when the product is coming. So we're super excited about this. Initially, the whole brand has been offered as a wholesale opportunity. So just we have a big drive in Europe, just all our showrooms have presented the product to their customers and there is a tremendous campaign that is going on. Just -- we just finished and the initial results, I think I said it have been very just ahead of what we had expected. But it's primarily a wholesale business.
 That being said, we think that there is a big opportunity here to start exploring the presentation of the brand in its own environment. So for that reason, we have selected a few new locations to present the brand and one of them is in Melrose in Los Angeles, Hollywood, and it's an incredible location, great corner, it has tremendous traffic both cars and foot traffic. And we think that it's going to be a phenomenal presentation for the brand. 
 And so we are doing some -- selecting some other locations in key European cities where we think that the brand is going to be well represented and will represent what this whole lifestyle is for the brand to attract that younger consumer. But also, we don't see it as an exclusive young consumer type of product. We think that everybody will find what they are looking for in that store. So we -- this is not going to be a major expansion of stores, just that we are planning. But we will consider opening strategically as the brand continues to develop.
 We are working on marketing, Nicolai is working very hard on the whole marketing campaign, how we think about presenting the brands and [ can reduce ] working on collaborations and so forth, and we'll keep you informed when we have more to say.
 But overall, it's just -- it's all happening. The initial numbers are very good. We think that the product is right on the reception from our wholesale customers has been very, very positive. And the two events that I mentioned during my prepared remarks that the Nicolai led have been incredible, and incredible, number one, to really make this story known also capitalizing on the history of our company and the experience that this company has on the denim category, which is remarkable and having discovered a strong washing at the time.
 So not only that, but just the creativity that was displayed into these two events, showing how the product is being treated. How -- what -- the major change in sustainability that these techniques are going to bring into the industry. Just it was really very compelling and people were just blown away with the level of innovation that was displayed during the two events.
 So all that is a big way to really tell the story. We've got tremendous coverage. I think that there were, I don't know, how many articles, but magazine, newspapers, TV programs, they all feature everything that was happening in both Milan and Florence. So I'll stop there.
 With respect to your second question on the special dividend, just I think that your question was more about share repurchases. And you're right. We don't have an open pool for share repurchase. We will continue to be opportunistic in the way we use capital. And I think that we have proven that during the last 5 years, a lot of funds have been used to really reward shareholders. And we believe strongly in that. And our Board is completely just at the forefront of this. And we think that so far, we have used the capital in a very smart way and strategic. And the great thing is that we have plenty of capacity.
 So just because we have a very strong balance sheet. I think as Markus said, just when you think about our debt is even -- if you consider the convertible bonds that we just exchanged in the last few months, and you put that against our cash at the end of the year, as you're talking about nominal net debt. You're talking about less than $100 million of net debt. So the balance sheet is very strong, and that's why the Board was encouraged and excited about declaring the special dividend. 
Operator: [Operator Instructions] It comes from the line of Jeff Lick with B. Riley Securities. 
Jeffrey Lick: Congrats on a stellar quarter and a great year. Maybe just, Markus, to maybe use Q1 to drill down a little bit on everyone's questions about the operating margin it would appear relative to last year where the adjusted operating margin was 30 bps. There's probably a 250 to 300 bp variance year-over-year. If you can maybe just give us anything about where that's coming from in terms of is it gross margin? Where the [indiscernible]? It's probably like a $25 million, $30 million swing. So any help there would be appreciated. 
Markus Neubrand: Thanks for the question. The Q1 guidance, some of the key initiatives that we have talked about benefit the later part of the year. First of all, we have Guess Jeans and outerwear, I think they are -- will benefit mostly in the second half. The rag & bone transaction, as we talked about, it will close in the latter part of the Q1 and will have a relatively minimal impact compared to the rest of the year.
 Carlos, and I talked about it also in the prepared remarks, if you look at the timing of the shipments in Europe, there, we expect a headwind of roughly $50 million on revenues on the first quarter, moving from the first quarter into the second and third quarter mainly due to a delay of product deliveries, I think due to Red Sea impact, I think we talked about more importantly, also in general due to our delivery cadence that we have and how we plan to deliver the product to our customers for the start of our fall, winter products.
 If you look at the first quarter as well, and you've seen it also FX will be a headwind in the first quarter, but also in the second quarter as well. If we look at the operating margin, I think that you've seen we -- our guide to 2 point -- minus 2.3% to minus 2.8%. We've incorporated the impact of the timing of the wholesale shipments. And we talked about the Red Sea impact on freight costs as well that will impact especially the first and second quarter.
 And thereafter, we expect that impact to moderate. And on top of it, also now rag & bone will close. But in terms of the [indiscernible] expenses, I think that also, of course, will then impact the later part of the first quarter. and we've incorporated all of these aspects, all of these factors in our Q1 guidance. 
Carlos Alberini: By the way, Sorry Jeff. I just wanted to say, I think that Markus hit all the key points. I think in the case of rag & bone, just we will pick up one month of their operation. And just that is a significant number when it comes to the increase in expenses relative to our expenses. And of course, the first quarter is a low productivity quarter for us. So that brings an additional level of pressure on the margin and profitability of that quarter. But that said -- [indiscernible] as you go towards the end of the year, of course. 
Jeffrey Lick: So you're saying rag & bone will close here, probably in the next 10 days, and it's not -- it's going to close on April 25th. Because that explains the [indiscernible]. 
Carlos Alberini: No. No, no. We -- these numbers and this -- our expectations assume that it closes reasonably quickly. 
Jeffrey Lick: That makes more sense. And then in terms of [indiscernible] there's going to be an expense drag without commensurate gross margin dollar pickup in Q1? 
Carlos Alberini: Yes. Exactly. 
Operator: Thank you. And with that, I will close the Q&A and turn it back to Carlos Alberini for final remarks. 
Carlos Alberini: Thank you. Well, thank you all for your interest in our company. We just closed a great year with a solid performance from our teams and very strong results. As we look at the new year, we are thrilled about our opportunities, really. And this includes our very exciting rag & bone acquisition. I'm sure you sense our excitement, and also the multiple growth initiatives that we have identified, including Guess Jeans and some of the others. We look forward to updating you on the progress that we make with our plans and we will do this as the year progresses. 
 Thank you, and we'll speak with you soon. 
Operator: Thank you. And this concludes today's conference call. Thank you all for participating, and you may now disconnect.